Christoph Bast: Hello, and welcome, everyone. Thank you very much for joining our Q3 2024 Earnings Call. We would like to remind you that this call is being webcast and a replay will be available later today on our website. Joining me today are Niklas Östberg, our CEO; and Marie-Anne Popp, Interim CFO of Delivery Hero, who will walk us through the key highlights of our Q3 performance. Afterwards, we will be happy to answer your questions. And now let me hand over to you, Niklas.
Niklas Östberg: Thanks, Christoph, and welcome, everyone. Thanks for listening in. Let’s jump straight into the highlights. We continued on a strong momentum and accelerated our GMV from 7% in Q2 to 9% in Q3 in constant currency and excluding the effects of hyperinflation accounting. With the exception of Asia, all segments reported strong double-digit growth rates, bringing the GMV growth outside of Asia segment to 25% year-on-year. In regard to Asia, 2024 is a transition year, and we soon have all the fundamental pieces in place to grow sustainably. More on this later. Total segment revenues continued to significantly outgrow GMV with a 24% year-on-year increase driven by multiple factors, including higher commission from own delivery, fast-growing Dmart business, growing AdTech revenues as well as service and subscription fees. This also had a positive impact on our profitability and led to a further increase of our adjusted EBITDA, both in a year-on-year comparison as well as quarter-over-quarter. Europe was a big highlight in Q3. We are more than satisfied with both growth and the profitability development over there. The segment recorded positive EBITDA or adjusted EBITDA in Q3 with further earnings growth ahead. Lastly, our cash position remained at high levels of €1.65 billion, allowing us ongoing financial flexibility to continue to pursue our operational goals and countering potential comparative moves. For Q4, we expect to generate significant positive free cash flow. Now on to the next slide. So as mentioned, healthy GMV growth, this was mainly driven by growing order volumes. And I think not much more to add on this slide. Let’s move to the next slide. Here, you can see strong revenue growth happening across the group, especially happy with MENA with 32% in constant currency, Europe with 27% and the Integrated Verticals segment with 26% year-over-year. Asia was slightly impacted by the fade out of our free delivery for non-subscribers in South Korea. And the Americas segment generated 20% revenue growth despite the temporary macroeconomic challenges in Argentina. Now let me hand over to Marie-Anne for more details.
Marie-Anne Popp: Thank you, Niklas, and a warm welcome also from my side. Let’s dive straight into the Europe segment, which accelerated GMV growth from 19% in constant currency during the second quarter to now 21% driven by strong order growth. Revenue growth accelerated even faster from 22% in Q2 to 27% in 3Q, fueled by strong progress in AdTech with NCR reaching already around 4% of GMV in the best-performing countries. In line with the guidance we gave during the last trading update in August, we achieved a breakeven on adjusted EBITDA level in Q3 with further earnings growth ahead. Let’s now have a look at our MENA segment. GMV and revenues in MENA grew 30% and 32% year-over-year, respectively, both in constant currency and excluding the impact from hyperinflation in Turkey. We’ve been focused on building a strong multi-vertical offering over many years in MENA. We can now see how this has been paying off when it comes to customer loyalty and frequency. A particular highlight has been Saudi Arabia. We’ve seen a clear acceleration in growth and category share as we’ve been putting a lot of focus on this market in the last couple of quarters to strengthen affordability, selection and service offering. Now on to the Asia segment. We saw a slight improvement in year-over-year development in Asia during Q3. We have made many changes and improvements in 2024 to strengthen our ability to compete long term. One of the recent changes was the rollout in Korea of our subscription program. The initial drop in category share since we started to charge non-subscribers delivery fee has stabilized. In a very short time period, we’ve grown our subscriber base very quickly and can see a clear increase in frequency. This bodes well for 2025. We will discuss Korea in more detail later in our case studies. Lastly, I would like to highlight the merger of the foodpanda, foodora and Yemeksepeti business teams into a new leadership structure. We believe by streamlining our leadership here, we can unlock further synergies and enable accelerated growth of our APAC business while optimizing our cost structures. Early results are very encouraging. Now moving to the Americas segment. Our Americas business continued to perform really well this quarter with GMV and revenue growth accelerating to 21% and 20%, respectively, up from 14% and 13% in Q2, all in constant currency and excluding hyperinflation adjustments for Argentina. The strong growth is despite temporary macroeconomic challenges in Argentina, where inflation control measures weigh in consumers’ purchasing power. Outside of Argentina, the Americas business has generated an even higher GMV growth of 26% in Q3, as you will see later in our case study. We also continue making significant progress on profitability. The segment reached adjusted EBITDA breakeven in Q3 and we expect further earnings trajectory in Q4. Now on to Integrated Verticals. Our Integrated Verticals segment again accelerated as GMV and revenue growth to 32% and 26% year-over-year at constant currency despite a 15% reduction in the number of Dmarts compared to the prior year. Half of the growth can be attributed to increasing number of orders, while the other half results from larger basket sizes. For us, this is a clear indication that our Dmarts business has evolved from a more impulse-driven buying behavior and a focus on convenience store products to more planned purchases, of larger shopping baskets that replace part of the weekly grocery shopping. The reduction in Dmart was an outcome of our ongoing focus on profitability, allowing for increased store utilization and leading to a quarter-over-quarter gross profit margin expansion of 1 percentage point for the Dmart business to 5%. Further margin drivers were more favorable supplier conditions and growing AdTech revenues. These efficiency measures led to an improvement in adjusted EBITDA loss of the Dmarts business by more than 80% since Q1 2024. Overall, the Integrated Verticals segment is on track to generate a positive adjusted EBITDA by December 2024. Let’s now have a closer look on the gross profit margin development of our platform business. The gross profit margin of the platform business remained largely stable at 7.3% in the quarter. A slight drop of 0.3 percentage points compared to Q2 was due to extending free delivery offers and targeted incentives connected to subscription rollout in Korea. MENA, Americas and Europe continue their positive margin trajectory towards the long-term gross profit margin target of 10% to 13% with MENA and Americas already exceeding the 10% level this quarter. As already mentioned, Dmart’s gross profit margin, which is not included in this illustration expanded for the third consecutive quarter to around 5%. Let me now hand back to Niklas, who will take you through our case studies.
Niklas Östberg: Thanks, Marie-Anne. So I would like to quickly cover our progress in Korea. 2024 has, as mentioned, been a transition year where the team has done a tremendous job and improvement in our business. We have worked hard to drive customer experience and affordability in a sustainable way, although we have taken a clear hit in EBITDA during 2024 compared to 2023, and we are now in a position where we can start investing into growth without negatively impacting our financials. Our main priority for next year is to turn the tide and grow our business and category share again. We aim to achieve this while we maintain or slightly improve EBITDA versus 2024. Let me now give you an update on Glovo, which has really shown an incredibly strong development over the last 2 years. And before going into details of the performance, I would like to point out the huge opportunity we have here. Glovo is possibly the brand with the largest long-term potential within Delivery Hero. The 22 countries Glovo operates in comprise more than 600 million people. As you might remember, Glovo was leading in 7% of its GMV when we acquired the business 3 years ago. This number has now grown to over 80%, while we improved EBITDA from negative €280 million in 2022 to positive since the middle of this year. Let’s move to the next slide to drill deeper into its evolving category share. Glovo is today the number one in the largest part of its footprint, in particular, in its 2 largest markets, Spain and Italy. In addition, we recently achieved category leadership in Poland. Since taking leadership in Spain in early 2020, Glovo managed to consistently grow its user base against competitors and kept its steady on a high level, the fact that the red line in this chart for Spain is flattening out, should not be misinterpreted. Spain is still growing above 20% year-over-year. Italy was launched 2, 3 years later than Spain and gained leadership in 2023. Poland was only launched at the end of 2019, but has recently gained leadership in the market with many international competitors. I should add that we generally believe have any monthly active user is under representing our category position. Other sources are even more encouraging to us. Moving to the next slide, you can see the financial performance of the business. And here you see the strong leadership positions and improving – or how it’s improving unit economics leading to gross profit margin expansion of 3 percentage points from 2022 onwards. This, together with operating leverage, strict cost control and post-merger synergies with Delivery Hero resulted in a massive profitability improvement of more than €280 million in adjusted EBITDA. Glovo has now reached breakeven and started to contribute a positive adjusted EBITDA after group cost in Q3 2024. We understand there’s a lot of interest in the Spanish rider topic. We hope to have news soon. We are not in a position to say more on this topic at this point in time. Moving on to the Americas, a region that, in my opinion, receives far too little attention. We see a lot of similarities to talabat, is a business with almost half the scale of talabat, but besides that similar market position, similar gross profit is a multi-vertical product and also here a very strong leadership team. We expect PedidosYa to develop into another talabat in a couple of years. Already today, around 80% of the GMV is coming from strong leadership countries, which means that our category share is by far larger than the number 2. This category leadership across the continent is particularly promising as it comprises a lot of emerging markets with significant untapped potential. With an estimated population growth of 7% from 23% to 29% and an estimate GDP per capita growth of almost 30%, the growth potential here is very large. As you can see on the slide, the average orders per capita in our Americas business is 0.1 orders per month, whereas our best performing country stands at 0.32 in the region and 1.8 orders for our global best practice market. Looking at the financials, you can see the development of the last 2 years. The Americas has been growing at a CAGR of around 15% despite strong macroeconomic challenges in Argentina. If you look at Americas segments outside Argentina, the GMV is expected to grow by an average of 26% CAGR since 2022. As you can see, the adjusted EBITDA margin is expected to improve by more than 5% points from ‘22 until full year 2024. The ongoing progress of this development is also reflected in the positive adjusted EBITDA for Q3 this year. As we expect profitability to develop positively in Q4 as well, we bring the entire segment closer to full year breakeven. This positive development is also expected to go into next year. Now moving to an old slide. And here, nothing has changed since last time, but we show this graph again to ensure that we show that we operate on track of previous expectations for Q4. So we still remain very committed to this, and we’ll get there. Now I turn it back to Marie-Anne to give the full year guidance.
Marie-Anne Popp: Thank you, Niklas. Given that we already had in the last months – that we are already in the last month of the year, we would like to give you more transparency on the expected outcome by updating and narrowing our full year outlook. Since the top line development in most segments is performing really well, we’re confident that both GMV and revenue will turn out at the upper end of our guidance of 7% to 9% growth for GMV as well as the upper end of the revenue guidance of 18% to 21% growth. Both growth rates for GMV and revenue are in constant currency and exclude the effects of hyperinflation accounting. We currently expect FX headwinds to be around 3% for the year. At the same time, we continue to face competition in Korea, which is why we deliberately decided to increase affordability and to reinvest in a great customer experience. This has a short-term impact on profitability but should allow us to grow the business and regain category share next year. That said, these activities will have a slight unfavorable impact on the adjusted EBITDA, which is expected to turn out in the lower end of the previously communicated guidance of €725 million to €775 million. However, the generally positive development on adjusted EBITDA level should then ultimately translate into free cash flow generation for the full year. And I’m pleased to announce that we are raising our free cash flow guidance for 2024 from positive to €50 million to €100 million. This is due to solid free cash flow development in the first 9 months, which is driven by stronger focus on working capital, better terms of suppliers, less CapEx for Dmarts, and also faster earnings growth in lower income tax markets. As such, we expect to generate a significant positive free cash flow in Q4. We’re now looking forward to taking your questions. Christoph, over to you.
Christoph Bast: Thank you very much, Marie-Anne. Before we start with the Q&A, I would like to point out that we cannot answer any questions on talabat today. This also applies to the talabat Q3 figures that you can find in the appendix of this presentation. [Operator Instructions] Operator, let’s go.
Operator: [Operator Instructions] First question is from Jo Barnet-Lamb, UBS. Please go ahead.
Jo Barnet-Lamb: Excellent. Thank you very much for taking my question and opening with one on Baemin in Korea. So when we think about Baemin’s GMV growth through the quarter, could you give us some color on sort of the cadence of growth through the quarter and where it sort of exited or how it’s traded since? And you highlighted intentions to regain share in FY ‘25 in Korea. Niklas, I think you said you hope to do that whilst holding or even growing profitability. Are you saying you would expect FY ‘25 versus FY ‘24 Korean profits to be flat to up or FY ‘24 versus the current run rate of Korea? Because I imagine those two things are not necessarily the same. Thank you very much.
Niklas Östberg: Thank you, Jo. So we – we don’t – yes, put it this way. We had a very positive development. We remain very positive in terms of our expectations. We did have a dip in market share aligned or slightly better than what we communicated in our last trading update. And this also reflects a drop in year-on-year, was a slightly larger drop year-on-year than in category share, should add that. So that means as you end of September, began October or running October, you would expect lower year-on-year. We see very encouraging development among our subscribers. So we see increased order levels from our subscriber base. That’s kind of what you expect, while we see a slight drop of frequency among our non-subscribers, which you would also expect because they have a higher delivery fee now. It seems like it’s rather than those customers going to Coupang, it is rather looks like they used to order a little bit less on Baemin. So that’s the trend that we’re seeing. Since we improved economics through this step and also as we’re growing the subscription base, we hope that this will be a good tailwind. But as I said, short term, of course, it meant that the significant portion of our customers ordered a little bit less frequency of frequent, but it still seems like they are loyal to our platform. So yes, you should expect a slightly lower GMV for Q4 than for Q3 based on that. But you should have, as I said, a good tailwind coming into 2025. And as I said, our focus for next year is that we can now start leaning in a little bit more, and our focus is clearly on growing both orders and GMV as well as our category share. And I think we are in a good position to do so without hitting our profitability given the changes we have done to the business. In terms of your second question, so this ‘25 will be better than ‘24. So yes, over the full year ‘24, ‘25 will be same or slightly better than ‘24.
Jo Barnet-Lamb: Excellent. Thank you very much, Niklas.
Niklas Östberg: Thanks.
Operator: The next question is from Andrew Ross, Barclays. Please go ahead.
Andrew Ross: Right. Good afternoon, everyone. Just building on Jo’s question there on Korea. If you’re only expecting EBITDA to be slightly better in ‘25 than ‘24, there’s just been a very large step-up in monetization over the last couple of months. I guess that suggests that the investment back into the consumer in Korea in ‘25 is going to be significant. Can you give us some color as to what the plans are there and maybe beyond the [indiscernible] club kind of understand what the growth strategy in Korea is? And whilst we’re on the topic, can you give us some feedback from merchants on the monetization changes that you made in the last couple of months? Thank you.
Niklas Östberg: Can you repeat the second part? Acoustically didn’t hear.
Andrew Ross: Just feedback from the industry on the commission rate increases that went [ through ] a month ago. Thank you.
Niklas Östberg: Got it. Yes. So I think we’re in a position to further drive customer experience. I think we can also improve on affordability side. So it will be an additional investment into that affordability. We hope that we can push our subscription program to scale in continued fast fashion, so scaling that Baemin club membership. So there will be some investments there as well. And yes, we – as I said, our priority is to start growing Korea. We think there’s still a lot of potential in that market. And as we then grow, we also hope to scale profitability. Yes. So that’s the priority. In terms of [indiscernible] so I think it’s a very good initiative. We like it. I think good discussions. I think we will – I’m hopeful to find a good outcome. And for us, it’s, of course, a key that is a level playing field. So we are hopeful that we will come to a good outcome. I think it’s a great initiative and I think, constructive dialogues.
Andrew Ross: Thanks.
Operator: The next question is from Monique Pollard, Citi. Please go ahead.
Monique Pollard: Hi. Good afternoon everyone. Thank you for taking my question. Actually, just one question and I have forgot, I am only allowed one. So, can I just ask a question on the detail of the combination of foodpanda, foodora and Yemeksepeti, how that works, employees changing locations? What are the synergies in terms of, I don’t know, central functions? And were they all already on one tech stack or on different tech stacks? Thank you.
Niklas Östberg: Maybe you, Marie-Anne, want to cover this.
Marie-Anne Popp: Yes, I will start and then, sure. Hi Monique. So, basically yes, as you have said, the technology platform, Pandora is currently already being used by foodpanda, foodora and Yemeksepeti, and the changes now until being run under a new common leadership. So, operated from Berlin, led by Tareq Barto, who is the former CEO of talabat. And the idea really is to accelerate product innovation and speed up time to market. So, the efficiencies will really come from going for speed, adapting to customer needs fast, improving customer experience and doing that across all those three brands at the same time. And there is then also obviously an element of reducing complexity, not only faster decision-making, but maybe also smaller, leaner teams. Not planning to relocate or really shift things around massively, but the center of gravity of the food – Pandora platform will remain in Berlin, basically. And to us, it’s really a tool to extend category leadership and penetrate white spots in relevant countries by seeing these white spots better and being able to make decisions holistically across the three platforms instead of having each platform make their own decisions. So, I would say mostly speed and efficiency versus product introduction and some savings as well.
Monique Pollard: It was clear. Thank you.
Niklas Östberg: And maybe I can add, the outcome of this has so far been very positively received. And yes, there is a clear cost implication that is positive for us, but I think the impact we see on speed of execution and also driving common product decisions and yes, customer experience, I think has been quite remarkable. I will be shocked if we will not see a big improvement in particular in Asia from this. I can say the first one or two quarters have been positive.
Monique Pollard: Got it.
Operator: The next question is from Giles Thorne, Jefferies. Please go ahead.
Giles Thorne: Thank you. I guess it’s picking up on that last comment from you, Niklas. Looking at APAC, there has been a lot of evidence of commercial investments in commercial overhaul from foodpanda, but also a lot of evidence of your peers investing in the region. The angle I am going for here is that the talabat IPO, if it goes to plan, will give you increased optionality over your next move in APAC. So, just your latest thinking on what you do next in APAC, that’s my question? Thank you.
Niklas Östberg: So, I think generally, I don’t think it impacts us much to talabat IPO. We tried to build an amazing business across the group. I think we get very distracted for more than a year in discussions and M&A discussions. Last year, I think we really dropped the ball on execution. I think I am very glad that we picked up the ball again. And now I really just want to focus on building a great business. We – of course, we are always open to ideas or different partnerships, but that’s not our focus. And yes, so far we have not been approached.
Giles Thorne: And just to follow-up on that and picking on one particular market. In Thailand, we have got Line Man Wongnai raising or intending to invest $100 million into that market in 2025. Are we right to assume that you are willing to accept or copycat that type of behavior?
Niklas Östberg: No, I don’t think that we have to spend more money to grow faster. I think the setup in the business we have now is that we can grow faster with better profitability. So, I do not – I don’t believe in this, you dump a bunch of money. And yes, maybe temporarily grow your category share, you get some users on rent, but it really is not a good strategy. We have seen it over and over again. I will take Turkey as an example. We had two players coming in and dumping prices and discounts and all of that. We had a big hit in – sorry, in Yemeksepeti, when that happened, partially also because we went through platform migration. What you have seen afterwards is absolutely phenomenal. We have gained back every customers with interest. So, we see a tremendous growth there, and our competitors are – yes, I think it’s a very temporary strategy. I don’t believe in it. You have to grow sustainably. Anything else is senseless and waste of money. And I think good execution is what makes you grow. And I think now in Pandora, foodora, foodpanda, Yemeksepeti, I think we have a super strong team and we are going to grow, and we are going to make good economics. So, we are definitely not just going to dump much of stupid money here. But yes, we really want to focus on execution. And if something happens in between, yes, we are always open to listen and so on, but our focus is really to build a great business.
Giles Thorne: Understood. Thank you.
Niklas Östberg: Thanks.
Operator: The next question is from Christopher Johnen, HSBC. Please go ahead sir.
Christopher Johnen: Yes. Thanks for taking my question. Mine is a little bit going back to the comment that you made about Glovo. I have to admit I was very surprised, Niklas, that you said that it’s the brand with possibly the largest long-term potential. I mean looking at the footprint, the opportunity at Baemin in Korea, the sort of big words you mentioned around PedidosYa in LATAM, comparing it to talabat. I have to admit, I don’t quite get the Glovo comment. I get that it’s a huge market, but it’s still a lot of European focus, so I am – I don’t know, maybe you can – maybe I just didn’t get it, but I would be curious to try and understand where you are coming from on the Glovo part. Thanks.
Niklas Östberg: Sure. So, one way of looking at opportunities to look at what’s the GDP that you are covering. I don’t say it’s the only metric, but starting point is there. The more GDP, there is in a country, the more potential for having customers with wallet able to buy food delivery. And if you look at Glovo, it’s by far the largest GDP coverage in our group, way, way larger than Korea in terms of GDP. The fact is that Italy is larger than Korea in terms of GDP. And so if you look at the GDP coverage of Glovo, it far exceeds any other brand. And I think if you look at the execution and growth here and acquisition velocity, it’s very, very high. So, that puts me in a position there, I think that this probably is the brand with the largest long-term potential. Of course, it will take time until it’s larger than Korea. It will take several years, but I will be surprised if in the long-term, it is not the largest asset in our group, the largest brand in our group.
Christopher Johnen: That’s interesting. Can I quickly follow-up on that. I think Korea is probably – correct me if I am wrong, doing average order frequency of around 9-ish I would guess. I would assume it’s a third in Italy. So, I mean it will take a couple of years. I mean is that…?
Niklas Östberg: It will take maybe more than a couple of years. And not Italy alone, I am not saying Italy alone would outpace Korea, at least not for a very long time. But you see the frequency of ordering in Italy is also very, very good. But Glovo is not only Italy and Spain, and we have some – a lot of good countries that are growing phenomenally well, great cohort frequency in our customer base. So, based on that, I think the potential is the largest. It doesn’t mean that it’s going to be largest in the very short-term. It’s going to take a lot of time. But I think it’s a tremendous brand, and I am super excited to – for the long-term. I think similar with Paya [ph], it’s a very large opportunity, maybe not as large as Glovo, but still very large. It’s half the size, almost half the size of talabat, with same gross profit. You have seen it in the gross profit slide, and same development is just that it’s – and it requires a few more years, and then hopefully will be the same size of talabat. And when it’s the same size of talabat, I would expect there will be similar profitability coming from there.
Christopher Johnen: That’s great. Thanks a lot for the color.
Operator: The next question is from Annick Maas, Bernstein. Please go ahead.
Annick Maas: Hi. Good afternoon. I am coming back to the brand merger and the cost synergies you have mentioned. Are you maybe in a position today to give us a numerical number as to what you plan to save on costs and how that’s going to be spread out over the quarters? Thank you.
Niklas Östberg: And brand merger, you are thinking of foodpanda, foodora, Yemeksepeti?
Annick Maas: Yes, exactly, yes.
Niklas Östberg: Right. So, we will not merge the brand just to be clear here, that we still operate different brands, but the leadership teams have merged. And yes, that drives certain efficiencies. It also drives a better execution because you bring the best part of every team. And yes, it makes you faster and you use – one set of tools, instead of three sets of tools. In terms of efficiencies and cost, I don’t know Marie-Anne, if you want to comment there, I think it might not be something that we disclose, but Marie-Anne, I will leave it to you.
Marie-Anne Popp: Yes. I don’t think we disclosed specific numbers, but we are obviously looking at SG&A in particular, right. Both savings from having only one leadership team for that platform, and then also for certain functions, leveraging lower-cost locations, right. So, not having all activities necessarily done from high-cost locations, but in particular, using some of the Asian locations to have some functions based there. So, there is definitely also an SG&A angle here, some of which will – is coming already through this year and some of that will happen kind of next year or we annualize next year.
Annick Maas: Okay. Thank you.
Niklas Östberg: And I think it’s – right now, Marie-Anne is pushing us hard and we push also very hard to drive cost efficiency. And I think overall in the group, we have significantly kept a very tight and lean team approach. So, you will see our GMV and revenue and so on going up, but you will see our cost being very flat in general, and I think you would expect that going forward, too. But I would say the largest value of the synergies and the things that we are bringing is actually the improvement in execution of ads. So, when we build, for example, the ad platforms and we are rolling out at the Glovo or as we drive efficiency by moving also here at Glovo and Korea into different logistic platforms, it’s not necessarily the cost synergy you drive from an FTE point of view. It’s actually a performance uplift as well as the increase of efficiencies from those tools, and that is often rather seen in GMV revenue and gross profit.
Annick Maas: Got it. Thank you.
Operator: The next question is from Silvia Cuneo, Deutsche Bank. Please go ahead.
Silvia Cuneo: Good afternoon everyone. Thanks for taking my question. But regards the drivers of GMV growth, you mentioned that order growth contributed two-thirds of the total GMV growth at the group level. So, could you provide perhaps a breakdown of the contribution from increased order frequency versus user base expansion, if at all? We are interested in understanding the importance of your subscription initiatives in driving frequency and order growth versus how much potential for further customer penetration in your various markets this could be? Thank you.
Niklas Östberg: And did you speak about a particular market or overall?
Silvia Cuneo: I mean overall, Niklas, but if you have any particular markets to call out, please do.
Niklas Östberg: So, I think in general, we would try to drive more value to the customer and find different ways of increasing frequency. Of course, subscription program is one that is a very helpful tool, but it’s surely not the only tool. We are also – the Dmart is a good example. It has been incredibly good for our business. Not only that Dmart is a very good profitable business, but – or at least moving towards, but also in terms of customer loyalty, same with many other things that we do. You have a post-pay in talabat and you have in a few other markets, you have loyalty points and you have many other tools here. Our focus is to build a very good experience, and then we see increasing frequency. And generally, that is the case both with and without subscription. But subscription is in general, helpful. I think the comment I made before in Korea is still true that we see an increase in frequency as customer adopted the loyalty program. And this is why we are also pushing Baemin Club more and are going to invest behind Baemin Club to making sure that we offer the best service and the most affordable service in Korea.
Silvia Cuneo: Okay. Thanks. And do you have any comment about the potential to grow the customer base globally, since it’s been a while since we have got little bit of sense about the penetration of food delivery markets globally. Thank you.
Niklas Östberg: Acoustically sorry, I did not fully capture. I am very sorry about that. Can you repeat?
Silvia Cuneo: Okay. I mean if there is much growth also coming from new users potentially or it is now mostly about growing frequency of existing users.
Niklas Östberg: Yes. So, I would say that the majority of our growth in the group is still through acquiring more customers. So, that also shows that we are very early in the phase, but the majority of our growth is still coming from order growth from acquisitions. There is also frequency improvements that we see. But we – and that is a more long-term, probably the largest driver of growth. But currently, we still have more growth coming from acquisition and increased number of customers. And I expect that to remain for the next couple of years. So, again, that shows that we are early stage in development.
Silvia Cuneo: Thank you.
Operator: [Operator Instructions] We have a follow-up question from Giles Thorne, Jefferies. Please go ahead.
Giles Thorne: Thank you. Thank you very much for the follow-up. There has been press reports that you found a new CEO for Baemin, but nothing officially announced. So, I am just wondering, Niklas, if you are happy to confirm that Austin Kim is joining. And if you are, what was it about Kim’s time at Trendyol that appealed to you for this role?
Niklas Östberg: So, Austin is working in PJ’s team on special projects, put in this way, and is exceptionally good, exceptionally good. And he – yes, and of course, his experience at Trendyol Go was very encouraging. So, yes, I love working with Austin, but we have not reported on CEO appointment in Korea yet. But yes, we will let you know as soon as we do appoint a CEO there. And I also got a question here on the side regarding my comment on Korea. So, what I am saying is that the implementation of Baemin Club, meaning that a non-paid or non-subscribers will have to pay delivery fee, that is an effect on year-on-year growth for Korea. So, that’s what I meant. There is an effect on year-over-year growth development. But as I have said, there is a positive effect of Baemin Club. So, as we grow the subscription base, we think that it will be a tailwind, so a positive win for us going forward.
Operator: Next question is from Christopher Johnen, HSBC. Please go ahead.
Christopher Johnen: Yes. Thanks for allowing the follow-up. I would want to go back to Turkey, if possible. I think what the sort of talabat disclosure has shown is that probably talabat was much more profitable than most people expected, but the application is also that the combination of Hungerstation in Turkey in the segment were weaker in terms of profitability. So, if my math is right, then Turkey is probably still maybe somewhat significantly loss-making on an EBITDA level. You have basically only had positive words about the development in Turkey. I think you talked about very strong top line development. Can we pick your brain on the path of profitability here for that market? Thank you.
Niklas Östberg: I think you can assume that the first half was negative, and now we are back into driving profitability and yes, we are there. So, I would say Turkey is on a breakeven basis on the platform side, and that will continue to improve as we go into 2025. And yes, Hungerstation is also – is profitable, yes.
Christopher Johnen: Okay. That’s helpful. Thank you.
Niklas Östberg: Thanks.
Operator: Next question is from Annick Maas, Bernstein. Please go ahead.
Annick Maas: Hi. Just looking at your long-term EBITDA margin of 5% to 8% guide, and if I compare that to talabat with 7% to 8%, shall I just assume that you guys are way more conservative, or is there any reason why your range is what it is versus talabat? Thank you.
Niklas Östberg: I think we set the target quite some time ago, and I think development has been good so far. Of course, if you look in the very, very long-term, I hope that when you get the position that we are in talabat that many of our markets also has, then you would expect possibly in the higher end of the EBITDA margin. But of course, we also have to assume that there will always be some market that maybe earlier stage or maybe it’s a comparative dynamic that will take the margins down a little bit and so on. So, for that reason, I think 5% to 8% is a good guidance. But yes, in the very long-term, I guess we have a little bit room to the upside. But yes, it will take time.
Annick Maas: Okay. Thank you.
Operator: Next question is from Andrew Ross, Barclays. Please go ahead.
Andrew Ross: Thanks a lot. I just wanted to come back to clarify the commentary on Korea in Q4. Particularly, you are saying the GMV in Q4 will decline versus GMV in Q3. I think I am right in saying that normally, Q4 will be bigger than Q3, just from a seasonality perspective in Korea, but correct me if I am wrong. But can we assume that the year-on-year decline is a bit worse in Q4 than in Q3, or have I misunderstood that just to clarify what you mean overall year-on-year GMV in Korea.
Niklas Östberg: Yes. We only speak on a year-on-year basis to avoid any seasonality up or down. So, yes, my comment is completely on a year-on-year basis, you would expect that it will be slightly down in Q4 versus Q3, given the, as I have said, the move to taking away free delivery for non-subscribers. It also means that profitability is a little bit better in Q4 than in Q3, but yes, year-on-year.
Andrew Ross: Thank you. That’s very clear. Thank you.
Niklas Östberg: Thanks.
Operator: Ladies and gentlemen, that was the last question. I would like to turn the conference back over to Mr. Östberg for any closing remarks. Please go ahead, sir.
Niklas Östberg: Well, thank you very much. Thank you everyone for listening in and thanks to all the heroes who keep delivering good results. Thank you very much.